Operator: Greetings. Welcome to the Eagle Point Income Company First Quarter 2024 Financial Results Call. [Operator Instructions] I will now turn the conference over to your host, Peter Sceusa, you may begin. 
Peter Sceusa: Thank you, and good morning. As a reminder, before we begin our formal remarks, the matters discussed on this call include forward-looking statements or projected financial information that involve risks and uncertainties that may cause the company's actual results to differ materially from those projected in such forward-looking statements and projected financial information. 
 For further information on factors that could impact the company and the statements and projections contained herein, please refer to the company's filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law. 
 A replay of this call can be accessed for 30 days via the company's website, www.eaglepointincome.com. Earlier today, we filed our first quarter 2024 financial statements and our first quarter investor presentation with the Securities and Exchange Commission. Financial statements and our first quarter investor presentation are also available within the Investor Relations section of the company's website. 
 Financial statements can be found by following the financial statements in Reports link, and the investor presentation can be found by following the Presentations and Events link. I will now turn it over to Tom Majewski, Chairman and Chief Executive Officer of Eagle Point Income Company. 
Thomas Majewski: Great. Thank you, Peter, and welcome, everyone, to Eagle Point Income Company's first quarter earnings call. We appreciate your interest in Eagle Point Income Company, or EIC. If you haven't done so already, we invite you to download our investor presentation from our website at eaglepointincome.com. The presentation contains detailed information about the company and our investment portfolio. The first quarter of 2024 picked up right where 2023 left off for the company. We had another quarter-over-quarter increase in portfolio cash flows, a solid increase in NAV from year-end and a significant strengthening of our balance sheet. 
 Our portfolio is doing exactly what it was designed to do in an elevated rate environment, simply generate more cash. Among our highlights for the first quarter, the company generated net investment income and realized capital gains of $0.56 per share. We received recurring cash flows of $10.7 million or $0.88 per share comfortably in excess of our regular common distributions and operating expenses. 
 We increased our monthly common distribution by 11% at the beginning of the year given our confidence in our portfolio. Indeed, we paid 3 monthly common distributions of $0.20 per share during the first quarter. Our NAV as of March 31 was $15.12 per share, which is an increase of 5% from year-end. At the end of the quarter, we raised additional capital for the company by pricing and offering of 8% Series C term preferred stock, which will be due in 2029 and subsequently received proceeds of $33.6 million. 
 We also opportunistically raised capital through our at-the-market program, issuing approximately 1.9 million common shares at a premium to NAV. This generated NAV accretion of $0.05 per share during the quarter. We also issued some Series B term preferred stock via the ATM during the quarter. Importantly, we believe, our usage of the ATM program is helping drive additional liquidity of our common shares. And indeed, our average trading volume in the first quarter of 2024 was approximately 70% higher than the fourth quarter of 2023. 
 Additionally, the company had a number of meaningful subsequent events after quarter end that I'd like to highlight. We declared monthly common distributions of $0.20 per share now through September of 2024. We estimate our NAV at April month end to be between $15.16 and $15.26 per share, and this is up modestly at the midpoint from the March 31 NAV. As of April 30, we have over $38 million of cash and revolver borrowing capacity available to us. This is ample dry powder with which to invest and further expand our portfolio. 
 Lastly, I'm honored to share that last week, EIC won the Credit Flux Industry Award for Best Public Closed-End CLO Fund for 2023. This award is a true testament to our entire team's relentless efforts on behalf of the company, and we're very proud to have won it. Our portfolio continues to benefit from the floating rate nature of CLO BBs. The higher for longer rate environment when considering that all of our CLOs are floating rate, definitely is a benefit to the company. 
 All of our CLO BB coupons are in the double digits at this point, with some CLO BBs having the potential to yield even more if they're called early. As long-term focused investors, we seek to construct our portfolio to weather multiple economic cycles, and our strong cash flows and income generation are a validation that we're executing exactly on that playbook. 
 We remain excited for our portfolio's potential moving forward. For additional commentary on the overall market and our recent portfolio activity, I'd like to turn the call over to Dan Ko, who's a Senior Principal and Portfolio Manager here at Eagle Point. 
Daniel Ko: Thank you, Tom. We remain excited about the investment opportunities within the CLO market, in particular, the junior debt and equity portions of the capital structure. EIC has continued to successfully capitalize on the elevated rate environment by investing in floating rate CLO debt, which continues to reward our shareholders compared to other fixed-income asset classes. 
 The Credit Suisse Leveraged Loan Index continued its strong momentum from 2023, generating a total return of 2.52% for the quarter. The index continued its trajectory in April with loans up 3.22% as of month end. We deployed over $45 million in net capital into attractive CLO junior debt, CLO equity and other related investments in the first quarter. 
 The weighted average effective yield of the CLO purchases during the quarter was a robust 12.7%. We continue to see attractive return profiles in the secondary market. Our CLO collateral managers continue to seek to build par build through relative value trading or by reinvesting part payments into discounted loans. 
 During the first quarter, approximately 7% of leveraged loans or roughly 27% annualized repaid at par. Most loan issuers continue to tackle their near-term maturities in an effort to further extend the maturity of their debt. Some borrowers continue to offer lenders OID in order to lengthen out their maturities on the newly refinanced loan. In terms of the CLO primary market, we saw $49 billion of new issuance in the first quarter of 2024, the fastest pace ever and approximately 45% higher than the prior year period. While 80% to 90% of the new issue market last year was backed by CLO captive funds, which are generally far less return sensitive, third-party CLO equity investors have returned to the new issue market in 2024 as CLO debt spreads have tightened. 
 We also saw a material pickup in reset and refinancing activity during the quarter, driven by the tighter CLO debt spreads. This year, through the end of April, we completed 2 refinancings and 1 reset of our CLO equity positions lowering their debt cost by an average of 36 basis points in the refinancings and extending the reinvestment period to 5 years in the case of the reset, increasing our portfolio's weighted average remaining reinvestment period. 
 We also expect that refinancings, resets and calls will lead to some of our previously discounted CLO BB purchases being redeemed, achieving the pull to par and convexity in our investments sooner than anticipated. There were a total of 6 syndicated loan defaults in the first quarter, up from 4 in the prior quarter. Despite the slight rise in the number of defaults, the trailing 12-month default rate fell to 1.1% as of March 31, remaining well below the historical average of 2.7%. 
 EIC's default exposure as of March 31 stood at 0.7%, well below the market rate. Even if defaults should rise from these levels, we continue to believe our portfolio is well positioned for environments like these. As we've consistently noted, CLO BBs have listed multiple economic downtrends in the past experiencing very low long-term default rates. The floating rate nature also helps insulate the investments from interest rate volatility. We believe we will take a significant amount of loan defaults well above the historical average coupled with limited loan price volatility for EIC to be materially impacted by a default rate. As we look ahead, we remain well positioned to deploy fresh capital into new investments that offer compelling risk-adjusted returns for the company's portfolio. 
 With that, I will now turn the call over to our adviser's Chief Accounting Officer, Lena Umnova. 
Lena Umnova: Thank you, Dan. During the first quarter, the company recorded net investment income or NII and realized gains of $6.5 million or $0.56 per share. Compared to NII less realized losses of $0.54 per share recorded for the fourth quarter of 2023 and NII of $0.49 per share for the first quarter of 2023. When unrealized portfolio appreciation is included, the company recorded GAAP net income of $17 million or $1.40 per share. 
 The company's first quarter net income was comprised of total investment income of $9.1 million, net unrealized appreciation on investments of $9.5 million, net realized gain on investments of $0.2 million and unrealized depreciation on certain liabilities held at fair value of $0.7 million, all of which were partially offset by financing costs and operating expenses of $2.5 million. 
 Additionally, for the first quarter, the company recorded other comprehensive loss of $1.4 million, representing the change in fair value on the company's financial liabilities attributed to instrument-specific credit risk. 
 During the first quarter, we paid 3 monthly distributions of $0.20 per share, an 11% increase in monthly distributions from the prior quarter. And last week, we also declared continued monthly common distributions of $0.20 per share to September month end. As of the quarter end, the company had attended borrowings from the revolving credit facility and preferred equity, which totaled 33% of total asset less current liabilities. 
 This is within our long-term target leverage ratio range of 25% to 35% at which we expect that period the company under normal market conditions. The company's assets coverage ratios at the quarter end for preferred stock and debt calculated in accordance with investment company at requirements were 306% and 1,526%, respectively. This is comfortably above the statutory requirements of 200% and 300% for preferred stock and debt. 
 As of March month end, the company's net assets value was $196 million or $15.12 per share, a 5% increase from the end of 2023. Moving on to our portfolio activity during April, the company received recurring cash flows on its investment portfolio of $11.7 million. Note that some of the company's investments are expected to make payments later in the quarter. As of April month end, net of pending investment transactions, the company had over $38 million of cash and revolver capacity available for investment. That includes the net proceeds of $33.6 million received in April from issuance of our new 8% Series C term preferred stock. 
 We expect some modest drag on NII per share during the second quarter as capital deployed using proceeds from the EICC offering and recent ATM activity will not earn a full quarter's income, but we expect that, it will normalize by the third quarter. Management's unaudited estimate of the company's NAV as of April month end was between $15.16 and $15.26 per share. At the midpoint, it's up from where we stood at the March month end. I will now turn the call back over to Tom. 
Thomas Majewski: Thanks, Lena. It was another excellent quarter for EIC and the elevated rate environment and our investment strategy continue to work very well, generating strong NII for -- from our portfolio. We continue to strengthen our balance sheet through our at-the-market program and the recent issuance of the Series C term preferred stock at a favorable coupon. In our view, CLO BBs continue to be one of the most resilient risk assets available in the market attributable to their structural protection and floating rate nature. 
 Our investment portfolio as well as the right side of our balance sheet were both intentionally designed for markets like these and our shareholders are benefiting from multiple increases in our monthly cash distributions over the past 2-plus years. 
 The 3 key attributes as to why we remain excited to be managing a CLO BB focused fund remain the same from our IPO back in 2019. The potential for low credit expense, as reflected by the low default rates for CLO BBs over the past 30 years, the potential for high returns compared to similarly rated corporate securities and the benefits of floating rate that CLO BBs offer in markets like these with elevated interest rates. 
 We remain confident that EIC is well positioned to continue generating compelling risk-adjusted returns for our shareholders. Lena, Dan and I thank you for your time and interest in Eagle Point Income Company. We'll now open the call to your questions. Operator? 
Operator: [Operator Instructions] Since there are no questions, this concludes the question-and-answer session. And I'll now turn the call back over to Tom Majewski for closing remarks. Tom? 
Thomas Majewski: Great. Thank you, everyone, for joining the call. Lena, Dan and I appreciate your interest and attention regarding Eagle Point Income Company. We'll be in the office for the balance of the day and would be available to take any further questions if investors have them. Thank you very much. 
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.